Operator: Good day ladies and gentlemen, and welcome to the BankUnited Incorporated Fourth Quarter and Fiscal Year 2016 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. As a reminder, this conference is being recorded. I'd now like to hand the meeting over to Mary Harris, Senior Vice President of Marketing and Public Relations. Please go ahead.
Mary Harris: Good morning, and welcome. It's my pleasure to introduce our President and CEO, Raj Singh. But first, I'd like to remind everyone that this call contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 that reflect the Company's current views with respect to among other things future events and financial performance. The Company generally identifies forward-looking statements by terminology such as outlook, believes, expects, potential, continues, may, will, could, should, seeks, approximately, predicts, intends, plans, estimates, anticipates or the negative version of those words or other comparable words. Any forward-looking statements contained in this call are based on the historical performance of the Company and its subsidiaries or on the Company’s current plans, estimates, and expectations. The inclusion of this forward-looking information should not be regarded as a representation by the Company that the future plans, estimates or expectations contemplated by the Company will be achieved. Such forward-looking statements are subject to various risks and uncertainties and assumptions relating to the Company's operations, financial results, financial condition, business prospect, growth strategy and liquidity. If one or more of these or other risks or uncertainties materialize or if the Company's underlying assumptions proves to be incorrect, the Company's actual results may vary materially from those indicated in these statements. These factors should not be construed as exhaustive. The Company does not undertake any obligation to publicly update or review any forward-looking statement, whether as a result of new information, future developments or otherwise. A number of important factors could cause actual results to differ materially from those indicated by the forward-looking statements. Information on these factors can be found in the Company's annual report on Form 10-K for the year ended December 31, 2015 available at the SEC’s Web site, which is sec.gov. Raj?
Rajinder P. Singh: Thanks, Mary. Good morning. everyone. Thank you for joining us. This is -- I’m Raj here with Leslie and Tom. You all know Leslie, she has been with us for a few years now as the CFO. You’ve heard about Tom, but you’ve not met him. Tom Cornish, has been with us -- three years, Tom?
Thomas M. Cornish: Three years.
Rajinder P. Singh: Three years, he is the Chief Operating Officer. I also bring greetings from John Kanas, who is in Florida on a golf course. Probably on a Trump golf course, if I was to guess. And he says hello. I spoke to him yesterday, he wanted me to send a hello to everyone. I’m happy to announce the fourth quarter results. EPS came in very strong, earnings came in very strong. We posted a $0.59 quarter. For the year, we came in at $2.09. Earnings and income was at $63 million for the quarter and $226 million for the year, round numbers. I think this is our highest earning quarter in our history as a Company. So I’m very proud and very excited to be where we’re today. We may have had a couple of quarters with a six handle from an EPS perspective way back in 2010 or '12 or something like that. But from an earnings point of view, this is our biggest quarter. Just -- it feels kind of strange, just yesterday we were talking about how earnings are declining because of loss share asset, all the headwinds that we had from the decline of that asset and we were about to get to an inflection, and we got to an inflection. And the question always was how long will that take to really ramp up earnings at the end of the day, it's an earnings game. I know you all patiently waited for this, but eventually we’re at the place where now we’re posting quarters. Not yet a six handle on EPS, but very close to it and it feels very gratifying to be here. And especially as we look at earnings trajectory going forward, feel very good. Let me take a minute here, talk a little bit about the economic environment both in our markets and in general. And I will start by saying just simply wow what a difference two months can make. Just two or two and half months ago we were in a very different place politically and economically. Today we have a new administration, which is barely not even a week into the office and we’re talking pro-growth policies and tax reform, then business -- personal tax reform, we’re talking reduce regulatory burden not just for banks, but for all American businesses, we’re talking infrastructure spending, all things which basically lead to better consumer confidence and business confidence. And confidence at the end of the day is the fuel that is needed for economic growth. And economic growth is good for us, as a bank its good for every bank that you guys follow. So we are -- we couldn’t have asked for better news on the economic and political front. Of course this is all still talk and it will take some time for these policies to actually trickled out, but we are very optimistic about the future. Getting back to our fourth quarter numbers. Like I said, earnings were very strong, deposit growth was pretty decent, that came in at $655 million versus I think just a tad over $600 million last quarter. As you know that is our focus and we're not satisfied with what we have. We still have to build this to a much larger number, and we’re confident that we're on the -- moving in the right direction with that. Interest earning assets also grew about the same amount. Loans grew $432 million, which was a very light quarter for us based on what we have done in the past. And I'll walk you through what makes up that likeness of that growth. A minute ago I talked about how there's a lot of good news from the economic front. There is also a fair amount of volatility lease in the short-term. And that sweep into our numbers and I will walk through that in some detail. Our biggest business line is commercial real estate as you all know. And commercial real estate we started applying the brakes in early third quarter. We announced it to you in the second quarter earnings release. You saw some slowdown last quarter, you’re seeing a full slowdown right now. And that is coming directly from the concern that we hear from the OCC, our primary regulator about the state of commercial real estate and where we are in the business cycle. So we’re paying attention to that and we have applied the brakes on that business. We are still growing it, but not nearly as fast as we used to and being the largest business line that had the largest impact on our total loan growth. We also had a pretty interesting development in the fourth quarter around corporate tax rate. The guessing game of what the corporate tax rate will be, which directly impacts our tax exempt business. That's Pinnacle, which has been a very steady grower from the day we started that business 6, 7 years ago. And we -- from the day after election, I don't think we've done much business there, simply because we’ve changed our pricing models to take into account the lower tax rate and -- some of our competitors have not done that. And we have -- our pricing has moved away from our competitors and we've lost a fair amount of bids in that business. So that also has impacted some tax exempt business that we do in New York, and to a -- and a much smaller extent what we do in Florida C&I as well. Also right after election, rates spiked, which has caused a -- the refi boom which impacts -- refi boom to go away, which impacts our mortgage warehouse customers. And while the warehouse business has been growing very nicely all throughout last year, fourth quarter it basically plateaued, because while we have a pipeline of nearly $300 million in approved credit. They have not closed and they will close -- most of them will close this quarter, but that was also a direct result of what happened in the environment of volatility that have created. Lastly, probably the smallest impact, but I want to mention it is, is that we’re seeing very tight pricing in the leasing business. And we've been trying to hold our line and be disciplined about pricing, and that also -- that impacted that business, specifically. Probably coming out of -- we’re seeing less competition in CRE, both in Florida and New York and banks are needless to say are looking for the next asset class to chase, and we’re seeing competition in these commercial finance businesses. Moving on, I just want to take a couple of minutes talk about 2017. We always give you guidance. I will give you some guidance and Leslie will give you the rest of the details. The guidance I will give you is on deposit growth, what we're expecting for this year. We think -- so talking about first last year, we did about $2.6 billion of deposits -- in deposit growth and about $3 billion of loan growth. Our goal this year is to do $4 billion of deposit growth, an equal amount of interest earning growth and loan growth of about the same as we did this year. Now that -- in terms of how much loan growth we do and how much bond growth we do, we want to maintain the flexibility of doing what makes sense. There have been times, especially earlier this year where bonds made a lot more sense and we did very aggressively to grow the bond portfolio. Not sure that will -- opportunities will be there in the future or not, but our best guess is its probably $3 billion of loans and $1 billion of bonds, with $4 billion of deposit growth. We expect every line of business as of -- as we stand right now and we look at our plan for the year. Every line of business was grown, adding up to about $3 billion. But we’ve always said to you, we always are turning this figures off and on based on where we see best pricing and best returns. So we will continue to do that, but as of right now every business line is expected to contribute towards that growth. With that, I actually -- let me see -- I do also want to point out, Leslie was showing me this morning, our tangible book value which we don't talk about that much, but it's now at $22.47 and we were sitting here just before this call started talking about when we took the Company public, we were under $13 and somebody did the math really quick here on the back of an envelope and it's about a 10% cumulative annual growth rate from the time we went public, which is just about six years ago. That's on top of being a pretty healthy dividend of about $0.84 that we’ve been paying for a number of years now. So we come a long way in terms of a Company, which was essentially a startup a few years ago, went public and here we’re. We matured quite a bit. It's very nice to hit a earnings target like this one, which is important, psychologically its important. With that, I will actually turn it over -- Tom, you want to go next and talk about little more detail behind the lending.
Thomas M. Cornish: Sure. Thanks, Raj. In terms of the loan portfolio, our portfolio remains well diversified across the platform. It's always been our strategy to keep a well diversified portfolio. 35% in Florida at $6.5 billion, 34% in New York at $6.4 billion, and 31% in the national companies at $5.9 billion. To expand a little bit more on Raj's comments about growth for the quarter, from a loan and lease perspective, Florida grew a $176 million. The New York market grew a $106 million and our national businesses grew a $150 million and which was primarily on the residential side. The Florida growth for the quarter was predominantly in our core C&I businesses or corporate banking and business banking businesses, which had a good quarter and that type of growth is in alignment with our strategies for growth in both the New York and the Florida markets from a C&I perspective. The national businesses were relatively flat quarter-over-quarter for the reasons from a pricing perspective as Raj alluded too. And on the deposit side, we grew deposits by $655 for the quarter, which was well diversified across all business lines in all geographies. So we were pleased with that type of growth.
Rajinder P. Singh: Leslie?
Leslie Lunak: Okay. I will jump in and give you guys a little bit more granular detail about the quarter and also little bit more guidance, looking forward to 2017. We are happy to see that net interest income continues to grow, increasing by 17% year-over-year. The yield on new loans increased for the most recent quarter to 3.54% and the yield on investment securities increased to 2.87%, while keeping that duration under 2%, so we’re very pleased with both of those results. NIM for the quarter was 3.67%, 3.73% for the full-year, which is right in line with the guidance we’ve been providing you. Pricing on new loans, looks like it's beginning to tick up, but I don’t -- I wouldn’t say we’re seeing anything dramatic yet. Cost to deposits was 69 basis points for the quarter, up 2 basis points from the prior quarter and the cost of FHLB advances declined to 92 basis points from 113 for the comparable quarter of the prior year. Increase in non-interest expense for the year was right in line with our high single-digit guidance at 8.3%. This quarter non-interest expense was impacted by one unusual item, a 4 -- we disclosed in our press release a $4.1 million impairment that we recognized on a group of 150 tank cars that have some unique physical characteristics related to a required retrofit and that was really what drove that. Non-covered loans represent 70 basis points -- non-covered, non-performing loans represented 70 basis points of total loans at December 31, but I want to remind you that 32 basis points of that was the taxi portfolio. So outside of the taxi portfolio, that’s relatively consistent with the prior year end. I will give you a few details, updates around the taxi portfolio, because if I don’t, I know you will ask me, so I will go ahead. Exposure now stands at $178 million, down from $192 million at 9.30 for a reduction of $13.7 million. About half of that reduction was charge-offs. We did take about $6.9 million in charge-offs in the fourth quarter and the other half was pay down. To date, in total, $65.9 million worth of taxi loans have been modified in TDRs, $7.4 million of that was this quarter. Medallions values, based on our updated analysis for the fourth quarter, individual medallion values we’ve constant and corporate values came down, but only very, very slightly. So we’re encouraged to see what is beginning to look like maybe some stabilization there. Delinquencies 60 days or greater is up to $33.8 million at December 31, and this is exactly what we predicted when we spoke to you last quarter, primarily driven by that -- the migration of that one large relationship that we talked about last quarter. Charge-offs to date in the taxi portfolio totaled $11.1 million and $6.9 million of that we took in the most recent quarter. The reserve allocated to medallion loans is down a little at 6% at 12.31 compared to 8% last quarter and that reduction is entirely due to the fact that we took all those charge-offs. 77% of the portfolio is rated substandard at 12.31, just slightly from 74% at the last quarter, so some migration, but the pace of migration there seems to be slowing and we’re encouraged to see that. With regard to -- so moving on from taxi with regard to capital, given the projected rate of balance sheet growth and the amount of capital we’re projecting to augment through earnings, we're likely now looking at doing some kind of capital raise in 2018. It doesn’t look like we’re going to need to do that in 2017. I wouldn’t take late this year off the table, but more likely you will see something first half of 2018 at this point. And you can expect us to maintain our current quarterly dividend of $0.21 for the foreseeable future.
Rajinder P. Singh: That capital raise will be debt.
Leslie Lunak: Yes. And as it stands now, we’re still looking at that next capital raise being debt. Some additional guidance for the year. Raj, provided you with some guidance around growth in deposits and earning assets. To expand on that, I’d say based on what we see today, securities are projected to grow as a percentage of total assets as deposit growth is projected to exceed loan growth and the loan to deposit ratio is expected to pull back to under a 100%. Combined covered loans in the indemnification asset are projected to continue to decline at a pretty consistent pace. Based on our most recent cash flow forecast, I’d expect that run-off to average around $70 million to $75 million per quarter. Also, and this is good news, I’ve been waiting years to say this. Based on our most recent cash flow projection, we think the combined yield on the indem asset and the covered loans is finally going to start ticking up. I’ve been waiting a long time to be able to say that and we think it will probably ramp up to around 14%, 14.5% for the full-year of 2017 and that will ramp up gradually over the course of the year. And I’m also happy to say, we finally think the amount of amortization of the indem asset is going to go down. Hopefully that materializes the way our current cash flow forecast indicates. We expect continued growth in net interest income, although the NIM will remain under pressure, because of the run-off of the covered assets. I think NIM will land between 3.4, 3.6 for the full-year, most likely the near the midpoint of that range. Just for clarity, our projections are based on a probability weighted consensus forward curve in place as of early December, which is when we ran them. That prediction incorporated two rate hikes by the Fed in 2017. The curve was fairly flat through the belly and reflected some flattening of the 2.10 spread. So that -- a steepening curve would certainly improve that picture. Credit wise, we don’t see any systemic deterioration in credit on the horizon. Things seem pretty stable. Consistent with what we previously stated, we do expect the ALLL to gradually increase as a percentage of loans over the course of 2017. We saw that tick up about 4 basis points in 2016 and I'd expect that upward trajectory there to continue. We also expect the net charge-off rate to gradually increase as the portfolio seasons. We were at 13 bps for 2016 and that will probably gradually ramp up, not because of anything we see going on, that’s negative, but just normal and natural seasoning of the portfolio. Operating expense growth should continue at the high single-digit rate for 2017 and most of that increase will be in the comp line as we continue to add to our deposit gathering teams and supplement our back office support around both the deposit and loan teams. We are currently projecting an ETR of just under 33%, but that doesn’t take into account obviously anything that might happen in the way of corporate tax reform. So with that, I will turn it back over to Raj for some closing remarks.
Rajinder P. Singh: Thanks, Leslie. So, I will just end by repeating what I said at the beginning. We’re very optimistic about the future. We're very happy with the earnings performance this quarter and looking out into the future as to what we predict the earnings trajectory to be. There is work to be done on the deposit front. The loan growth this quarter was bit of an anomaly in terms of how light it was. We're expecting this to be a one-time event and as we see more normalization on the CRE front in terms of regulatory attitude towards it, we could see significantly higher numbers in CRE going forward, especially in the second half of the year. With that, I -- let me see, that was it. Those are my bullet points. We will open it up for questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Steven Alexopoulos from JPMorgan.
Steven Alexopoulos: Hey, good morning, everybody.
Rajinder P. Singh: Hey, how are you Steve?
Steven Alexopoulos: Good. Raj, you had cautious comments again on commercial real estate this quarter. A couple of questions there. With the $3 billion of loan growth you’re guiding to, how much of that is for commercial real estate?
Rajinder P. Singh: We were actually talking about it just before this call as to how much to break down this guidance, and typically we’ve not done this. Let me just say that there is growth in the CRE portfolio for each quarter. There is -- it's not as if we're keeping that business line flat or taking it down. We expect to grow just not as much as we’ve done in the last couple of years.
Steven Alexopoulos: Okay. And there were a lot of banks reporting today so excuse me, but where do we end the quarter on concentration of commercial real estate loans?
Leslie Lunak: 288.
Rajinder P. Singh: 288.
Steven Alexopoulos: 288? And can you cross that level here or do you guys need to further invest in risk management in other areas before you could cross that?
Rajinder P. Singh: So, Steve, where we are on that is the last six months we’ve made significant investments in the infrastructure and process, actually process changes more than anything else and -- but we’re still waiting for the OCC to come in and do and examine, tell us that this is what -- this is what they like …
Leslie Lunak: Raj, this is …
Rajinder P. Singh: … which is probably at least another quarter away.
Leslie Lunak: It's fair to say we will probably manage to that 300% for -- at least for a couple more quarters.
Rajinder P. Singh: Yes, at least for a couple of more quarters.
Steven Alexopoulos: Okay.
Rajinder P. Singh: Yes.
Steven Alexopoulos: And then, separately on the deposits, Raj, where were the balances from that the team lift-out that you guys had done, or what are your expectations for them for 2017?
Rajinder P. Singh: So when we had brought them in, we’ve sit down with them and done a three-year business plan, the best guess of what we think that business could do. I reviewed them about a week or 10 days ago and they were within $30 million of what they said they would do, which is $700 million in the -- in 2016, which was a stub year and the number is much higher for next year which is why I feel comfortable giving you that $4 billion guidance.
Steven Alexopoulos: Okay. Can you get to that deposit guidance with this team and your other teams already or do you need to add more deposit capacity to get to that level?
Rajinder P. Singh: With the team that we have I would say, we’re always looking opportunistically to add, but it's not like what we cannot do this if unless we find another team like this or another business like this. So New York, for example, we're currently talking to at least two teams to bring in. And that’s our -- that are sort of what I call normal hiring that happens all the time. It's not some giant team of eight or nine people. It's basically three people that we're talking to and we'll bring them on, but we’re also -- its not out of the ordinary, it's not like that lift-out we did last year. That was a pretty big effort. That was a pretty big -- it was a new business line that we were launching, there was a lot of IT spend that went into it, an effort that went into it. So it's not, it's just hiring more producers like we do in ordinary course of business.
Steven Alexopoulos: Okay, great. Thanks for all the color.
Rajinder P. Singh: Thank you.
Operator: Thank you. And our next question comes from the line of David Eads from UBS.
David Eads: Hi. Good morning.
Rajinder P. Singh: Good morning.
Leslie Lunak: Good morning, David.
David Eads: Maybe following up on the loan growth comment, with -- it sounds like a little bit of near-term headwinds CRE and then also some of the headwinds you talked about in the national portfolio. Should we be thinking about the trajectory in 2017, maybe being with the pace of growth ramps during the year and kind of it is meaningfully stronger in the back half?
Rajinder P. Singh: I think that’s a good assumption. I actually forgot to add one thing or maybe I did. We did have about $50 million in participations. These were pretty standard stuff that we do, we look at our portfolio. We participated out about $50 million in loans, which also goes against that growth number so, but again, there was nothing special about it. We look at portfolio all the time and we prune it wherever we think there is excessive risk. So that also went into fourth quarter. But you're absolutely right, that you should expect growth to be skewed a little in the -- towards the second half of the year.
David Eads: All right. And then maybe, Leslie, have a good update on the expected net yield on the covered for acquired portfolio. Can you maybe go through some of the dynamics of what caused that yield to go up? And I guess, looking -- should we expect that yield to kind of be flat or higher for the life of those assets and obviously the balance of becoming down over the next -- continue to come down, but should the yield -- just only kind of go in the upward direction, there is not going to be a cliff downwards in the next year, is that the right way to think about it?
Leslie Lunak: Yes. Based on everything we know today, that’s the right way to think about it, yes.
David Eads: Okay. That’s great. Well, I will stop there. Thanks for taking the question.
Operator: Thank you. And our next question comes from the line of Ebrahim Poonawala from Bank of America.
Ebrahim Poonawala: Good morning, guys.
Rajinder P. Singh: Hi. How are you?
Ebrahim Poonawala: Good. I guess, first question, Raj, I was just listening to your initial opening remarks around earnings hitting a record and fourth quarter EPS at $0.59. I think it was sort of reading between the lines the implication that we should expect sort of quarterly EPS trajectory to be higher going forward from the $0.59 number in 4Q?
Rajinder P. Singh: I think, Ebrahim, the point I was trying to make was at the end of the day, it's all about earnings, right. You want earnings growth and that's what we’re trying to focus on earnings growth. This year, put aside the quarter, even if we take the entire year, we had double-digit earnings growth, we had double-digit EPS growth, we had double-digit revenue growth, of course, we almost had double-digit balance sheet growth. And that's --- it's something to feel good about. That’s the point I was trying to make. And the point I will make is, focusing on profitability that is our number one priority.
Ebrahim Poonawala: Understood. So we could have some quarterly earnings volatility, means it's not necessarily that we get to $0.60 plus right off the bat in 1Q '17, but …
Rajinder P. Singh: That is correct. Also, we’ve never given earnings guidance and the reason we don't do that, we give you guidance on things that we can control and that we can -- we can foresee with some certainty. Earning ends up being a lot of it is in our control and a lot is not in our control, pricing, shape of the curve, the absolute level of the curve, has a pretty meaningful impact to our earnings or any banks earnings, that's why we generally stayed away from that. But we’ve always given you balance sheet and expense growth, we think that we can somewhat control.
A - Leslie Lunak: The other thing I’d say, we’ve continually try to encourage you guys not to focus on quarter-by-quarter …
Rajinder P. Singh: Yes.
Leslie Lunak: … because things can happen in any given quarter that create volatility. We are trying to be more focused on long-term trends than just one quarter to the next.
Rajinder P. Singh: Yes. I mean, our EPS fourth quarter and fourth quarter was up 13.5%, but our EPS or our earnings over the course of the year was up kind of 11%. I would actually focus on the fact that our EPS over the year was up double-digit, rather than just taking one quarter, because …
Leslie Lunak: Quarters can be volatile.
Rajinder P. Singh: Yes, quarters can be volatile.
Ebrahim Poonawala: All right. That’s helpful. I guess, just switching to in terms of things that you can control I think part of the thesis around this national team coming in and growing the deposits is yes, deposit growth should pick up, but also that deposit costs could go down because of the mix shift in deposits. Can you give a sense of we might get multiple rate hikes this year, but when we think about your cost of interest bearing deposits, is it fair to assume that we could actually see that trend lower as the mix improves or is that being too optimistic?
Leslie Lunak: Relative to the fair [ph] trends.
Rajinder P. Singh: Relative to the fair trends is what Leslie is saying. Listen, when a team comes in, no matter whether its deposit team or loan team, they don't come in and start selling the most profitable product. They have to come in and build momentum. So, if I look at the mix of deposits the team has brought in or in that business, it looks skewered towards money market right now. Over time, the expectation is that that will change and there will be a lot more DDA that comes in, which is exactly on target. But we are in a very different rate environment. You had one Fed fund hike just a month ago and we're expecting probably three more this year. So in an environment like that your cost to deposits will go up. The question is how much does it go up and what’s the beta of these deposits? And we’ve answered that question in the past, which is we think the deposit beta and it’s a big think over there is in the sort of 60%, 65% range, but nobody really knows for sure exactly what it will be when in December 2015 the Fed rate -- if the Fed moves for the first time, we got one phone call from a large depositor. This time round, we got a lot more than one. But it's not like everybody's calling, but by next December we’ve two more or three more moves. I’m sure a lot more customers will be calling. So, deposit pricing in a rising rate environment will go up. The question is how much does it go up relative to the Fed funds.
Ebrahim Poonawala: That’s helpful. And if I may had one more in terms of taking your comments around growth could be skewed towards the back half of the year, and you talked about changes in regulatory attitude could lead to maybe stronger CRE growth. I guess getting to that $3 billion-ish kind of loan growth for the year, is that based on expectations that the regulator sign-off on sort of the work you've done in terms of being able to cross the 300% threshold or regardless of what happens there you expect that $3 billion is achievable today?
Rajinder P. Singh: We always go with the most conservative view, which is we will stay under 300% and hit $3 billion.
Ebrahim Poonawala: Understood. Very clear. Thanks for taking my questions.
Rajinder P. Singh: Yes.
Operator: Thank you. And our next question comes from the line of Stephen Scouten from Sandler O'Neill.
Stephen Scouten: Hey, guys, good morning. How are you doing?
Rajinder P. Singh: Good morning.
Stephen Scouten: So, I don’t want to harp on the loan growth guidance per se, but I just wanted to follow-up on some things. I know last quarter you had said you guys would be a little more selective and I think we saw that this quarter, but you also mentioned the mortgage warehouse could kind of be an offset to some of the decline in New York's CRE. So, with the kind of slowdown you intimated to in that business, where do you feel like specifically you'll be able to make up for those two dynamics within CRE and the mortgage warehouse, if that makes sense?
Rajinder P. Singh: Well, the mortgage warehouse is not a slow down as if that's not going to happen, that was more of a delay. So the pipeline over there is the biggest that it has been. I think we have close to $300 million in approved loans. Actually Leslie is pointing and waving to me saying its more than $300 million and -- but if I see fourth quarter, we didn’t really close any commitments. And what happens in that business is, think about if you’re a mortgage company and suddenly your pipeline suddenly disappears or at least half of the refi portion disappears overnight, which is what happened in November, the last thing you're looking for that time is to close another warehouse line and they are distracted, and -- but going forward those loans that are in the pipeline, I still expect most of them to get close this quarter. The business generally runs in a fashion that if you close a loan today, it generally takes about a few weeks for the lines to be drawn. So why expect a bunch of those loans and commitments to come on board this quarter and outstandings to grow next quarter. And if rates back off, and go back into the low 2s, you could have again a lot more momentum with our customers and you could see much more aggressive growth. So, I’m not writing off mortgage warehouse lending. We’re expecting that business to grow quite strongly this year. CRE, it will be slow. CRE, now we're also seeing some concerns coming out of the New York market. As rates have moved, everyone is now talking about how cap rates still low in New York. Florida cap rates have always been higher. New York have been always been lower, but now suddenly not just the regulators, but we're hitting this in the marketplace. So, while refi activity has slowed down in New York, purchase activity has slowed down in New York. So, we're not feeling that bad about slowing CRE six months ago, rather be cautious than, put on all these loans in this environment. It's okay to go slow with CRE, especially in New York. But overall our goal for the year is to grow CRE just like we will -- we shoot for growing every single line of business.
Thomas M. Cornish: I might add that our core C&I units in both the New York and Florida market had very good years, last year had good four quarters and we expect to see that to continue to grow well into 2017 and the pipeline in each of the units looks very good.
Stephen Scouten: Okay. That’s really helpful. Thanks for that. And then just one more for me. If you could talk a little bit more about the effect of the corporate -- potentially lower corporate tax rates, I know you mentioned some of your tax-advantaged businesses, business had kind of dried up there due to some pricing changes. But can you talk also about where your effective tax rates could go under some of these potential scenarios, and what the net benefit you expect to be versus some of the near-term hits to tangible book value, if you have any of that math?
Leslie Lunak: Sure. First of all, Stephen, there is obviously a lot of uncertainty about exactly what this is going to look like when it gets done. So with that being said, currently our ETR is slightly below the federal effective rate and I would expect that that's what based on the analysis we’ve done, that’s where it will land. If the federal effective rate is 25, we will be a little below that. If it's 20, we will be a little below that. Now there are some unanswered questions that about will municipal obligations, for example, continue to the tax exempt? What will happen to existing low-income housing tax credits? None of that has a huge effect on us, because we don’t have that much tax-advantaged income. But those could play with that in a way that I wouldn’t consider to be material, but they could certainly have an impact. As far as pricing of the tax exempt businesses, we’re just kind of waiting a little while for some clarity, for some of that to shake out for the market to adjust, then that’s why we took our foot off the brake there. That’s what I would expect as we still be just slightly below the federal effective rate.
Rajinder P. Singh: Whatever that ends up being.
Leslie Lunak: Whatever that ends up being.
Stephen Scouten: And any sort of earn back? Have you done anything like earn back math on the impact to your DTA [ph] or other things like that?
Leslie Lunak: [Multiple speakers]. Honestly that’s not going to be that material for us.
Stephen Scouten: Right.
Leslie Lunak: We are -- I think DTLs as we speak and if this effect -- if this doesn’t go into effect until 2018, we may even find ourselves in a net DTL position. So that’s not going to be a big number for us, Stephen, I don’t think.
Stephen Scouten: Okay, great. Thanks so much, guys. I appreciate it.
Operator: Thank you. And our next question comes from the line of Jared Shaw from Wells Fargo Securities.
Jared Shaw: Hi, good morning. Thanks for taking my call. Could you tell us where you saw the CRE growth this quarter? And looking at the back end of the year with the expectation for higher CRE, is that -- should we assume that you are back more in the New York City multi-family market or is it the rest of the franchise really expected to pick up traction?
Rajinder P. Singh: We saw more of it in Florida.
Leslie Lunak: Florida.
Rajinder P. Singh: And in the short-term, very short-term, we are still seeing a better pipeline in Florida than in New York.
Jared Shaw: Okay. And then are there any opportunities to get into new business lines? Now that you have taken the foot off the gas on CRE, are you looking at new opportunities for expanding into brand new lines, or should we expect that you just continue to stay with where you are focused right now?
Rajinder P. Singh: That’s the most fun part of my job is to try and get into new stuff and we always have a few conversations going. There is nothing in the pipeline that is far along enough for me to actually talk about. But we are, at any given time having two or three different conversations with different teams or different businesses to bring them to BankUnited, but if there is something that develops we will certainly let you know.
Jared Shaw: Okay. Thanks. And then on the railcar depreciation this quarter, is that more one-off, or as you look at the rest of the fleet, should we expect to see some continued revaluation on the tank cars and sand hoppers?
Leslie Lunak: No, we really think that’s a one-off. This was a unique group of a 150 tank cars that had a particular engineering issue with respect to the regulatory required retrofit. Those are the only cars in our fleet that have those characteristics, and so we -- we don’t see any indicators of impairment in the rest of the fleet.
Jared Shaw: Okay. And what’s the remaining life on the majority of those cars under the current leases?
Leslie Lunak: The remaining leases? The first of them come up in 2017, but that's not the majority of them. Most of them come due in early like 2020 to 2022, that range.
Jared Shaw: Right.
Thomas M. Cornish: Did you ask about leases or the railcars?
Leslie Lunak: Yes, I think you asked about the leases, that’s the question I answered it.
Jared Shaw: Yes.
Leslie Lunak: [Indiscernible], yes.
Jared Shaw: Great. Thank you.
Thomas M. Cornish: I might add on the CRE [ph] questions here, I will follow-up on Raj's comment, while we have large CRE portfolios obviously in both markets, the CRE portfolio as you know in the New York market is more concentrated on multi-family, so you’re more driven around the economics of what happens in multi-family. In the Florida book, it is a more broadly diversified asset base and more broadly geographic, so we have a bit more flexibility as we get into the later part of the year in different asset categories.
Operator: Thank you. And our next question comes from the line of Brady Gailey from KBW.
Brady Gailey: Hey, good morning, guys.
Leslie Lunak: Hey, Brady.
Rajinder P. Singh: Good morning.
Brady Gailey: Most of my questions have been answered, but Raj, maybe just an update on bank M&A. It seems like we are seeing a little more activity out there. You got the Astoria deal that busted. What are your thoughts on bank M&A, especially with a currency that’s a little more valuable that nowadays?
Rajinder P. Singh: Yes. So, I mean, listen, better economic times, more certainty is always good for M&A. But I think what has been standing in the way of M&A has been regulatory concerns. And I don’t think that has actually changed that much, or at least not yet. The Astoria deal was busted, that’s a pretty bad signal for M&A. And I view sort of M&A kind of three categories. I was thinking about it just yesterday, it's like two small non-SIFI banks combining to become a non -- to remain a non-SIFI bank, that’s one kind of M&A. A very large, already a SIFI bank buying a non-SIFI bank, that’s one kind of deal. And then the most convoluted and difficult deals are two non-SIFI banks combining to become a SIFI bank. We’ve only seen two deals or at least from what I can remember CIT and the Astoria transaction. One was -- couldn’t get done and the other one got done, but I’m not sure the shareholders are very happy about those. So, that’s -- it creates much more complexity when you’re trying to get over the $50 billion mark. And you’ve heard us say time and time again that we would not be interested in doing a small transaction for reasons that we’ve laid out in the past. We grow nicely and we’re an organic growth story and we don’t want to muddy that up, but any transformative deal that we do which is a big if, if you ever do would be one that would create a SIFI, or get us very close to being a SIFI and that’s problematic in this environment from what I’m seeing. So, I’m not very optimistic at least on the bank M&A space from BankUnited's perspective, until we see some major changes in DC. And that might happen over the course of next 6 or 12 months, but we’re not there yet.
Brady Gailey: Right. Great. Thanks, Raj.
Operator: Thank you. And our next question comes from the line of Ken Zerbe from Morgan Stanley.
Ken Zerbe: Great. Thanks. Good morning.
Thomas M. Cornish: Good morning, Ken.
Ken Zerbe: Just with loan growth, not to put you guys on the spot or anything, if you look back a year or two, loan growth was supposed to be close to $5 billion, right. And then, call it roughly last quarter, it was supposed to be say, $3.5 billion on an annualized basis. Now we’re looking at about $3 billion. I get the reasons why you expect loan growth to accelerate from here, but when you think about sort of your confidence in the $3 billion, or the range that it could end up if we end up having the same conversation a year from now, like how wide is that potential range of loan growth over 2017?
Rajinder P. Singh: I think, Ken, if you go back a year or year and half ago to today, the big change that really occurred for us was in the middle of last year where we basically came to you and said we would not be just about loan growth. That was a battle cry for a long period of time when we had lots of excess deposits, lots of excess capital and a loss share asset, which is running off so fast that was hard to keep up with. Now as we’re into the evolution, the next chapter of BankUnited, we’ve to be -- we’ve to look at a lot more than just loan growth. Deposit growth is very important and we’ve very publicly said that we’re not happy with the level of deposit growth that we generated. I think $2.6 billion this year was less than what it was the year before and we need to actually address that, because you can't grow loans without growing deposit and that’s an issue even right now with these numbers, as happy as I’m. I’m not happy with the fact that our loan to deposit ratio is at a 100% and still going the wrong way. Actually, no, last quarter it went the other way.
Leslie Lunak: Went down.
Rajinder P. Singh: Yes. But that single minor focus on just loan growth and nothing else was important the year and half -- two or three years ago, today we’ve to focus on loan growth, deposit growth and look at margin, we have to look at expenses. And at the end of the day, I’m trying to work back from the bottom of the P&L up and see what are the drivers that will drive that bottom line. Earnings growth, that’s more important. Our capital is still not fully deployed. I mean, you heard, Leslie, talk about the fact that we’re not going to do a capital raise this year. Probably in the first half of next year and that too will be debt. Our equity capital is probably still 2.5, 3, 3.5 years away from needing anything. So we still have to grow our earnings to get our return on equity to a better place than where we’re at. And we’ve always had this excess capital issue. For the longest time, we’ve been a Company, with lots and lots of excess capital and lots and lots of liquidity. Liquidity is all used up, we’ve to generate new liquidity. Capital is still there and we’ve to deploy it carefully into the highest yielding assets to build earnings.
Ken Zerbe: Okay. That’s helpful. And then just for myself and everyone else, can you just explain again Pinnacle, like what products Pinnacle is actually selling? And why should that -- I think you mentioned like on the tax exempt side, but like why should that pick up, if at all, before we get any kind of resolution on the tax guide? Thanks.
Rajinder P. Singh: So Pinnacle, their primary product is leases, right, financial leases.
Leslie Lunak: Into lease equipment.
Rajinder P. Singh: They’re leasing equipment and equipment comes in all shapes and forms, from short-term one and two year deals, all the way to 5, 6, 7, 10 year deals. So what we’re going to do and I don’t want to cast too much to our competitors, but we’re going to look at pricing a little differently for our short-term assets versus long-term assets, and that’s where you will get some volume, though maybe not as much volume as we used to get in the past. We don’t want to put on tax-advantage assets that are very long dated and find out the tax rate has changed on us a year into the deal.
Leslie Lunak: And, Ken, I think it maybe a while before tax reform gets done, I would not be surprised to see the market respond to this in a more fulsome way than it did last quarter in the first month after the election.
Ken Zerbe: All right, great. Thank you very much.
Operator: Thank you. And our next question comes from the line of Dave Bishop from FIG Partners.
Dave Bishop: Hey, good morning.
Rajinder P. Singh: Hi, Dave.
Leslie Lunak: Good morning.
Rajinder P. Singh: Dave?
Leslie Lunak: Dave?
Operator: I show his line is still connected. Dave, we were able to hear you.
Rajinder P. Singh: We can't hear him.
Operator: He may have muted. We can move on. Our next question comes from the line of Erik Zwick from Stephens.
Dave Bishop: Good morning. Thanks. All of my questions have been answered at this point.
Leslie Lunak: Okay.
Operator: Thank you. And that concludes our question-and-answer session. I’d like to turn the conference back over to BankUnited for any additional comments.
Rajinder P. Singh: Thank you for joining us. We are very excited about what plays ahead for 2017. And I’m sure you will have more detailed questions. Feel free, Leslie is here to answer your questions or if you want to call me, you can call me as well. Thank you.
Operator: Thank you. Ladies and gentlemen, thank you for your participation in today’s conference. This does conclude the program, and you may now disconnect. Everyone had a great day.